Operator: Welcome to ViaSat’s FY 2021 Fourth Quarter Earnings Conference Call. Your host for today’s call is Rick Baldridge, President and CEO. You may proceed, Mr. Baldridge.
Rick Baldridge: Okay. Thanks for joining us today. We released our Shareholder Letter earlier today before the market open and hope you have all had a little time to review that. On today’s call, we’ll do a little bit of just brief opening remarks and spend the rest of the time on Q&A. But first, let’s have Robert to provide our Safe Harbor disclosure.
Robert Blair: Thanks, Rick. As you know, this discussion will contain forward-looking statements. This is a reminder that factors could cause actual results to differ materially. Additional information concerning these factors is contained in our SEC filings including our most recent report on Form 10-K and Form 10-Q. Copies are available from the SEC or from our website. With that said, back to you, Rick.
Rick Baldridge: Okay. Thanks, Robert, and hello, everybody and welcome to our fourth quarter and year-end call. In addition to Robert, joining from the call today is Mark Dankberg, our Executive Chairman; our CFO, Shawn Duffy; Paul Froelich from our Corporate Development and Investor Relations team; and new addition Peter Lopez just joined us with focusing on IR, Investor Relations right now. So before getting to the Q&A we’ll just cover a few highlights. First thing to note is, we’re really, really proud of what we achieved in our fiscal year 2021 performance, especially in the light of all the challenges, I’m sure lot of companies had, but associated with COVID-19 that obviously hit us right from the beginning. A combination of our diversified business mix in early and very decisive cost actions and then prioritization along year, alongside that really hard work and adaptability, flexibility of our employees allowed us to achieve really stellar financial results for the year, including records for adjusted EBITDA, operating cash flow over $700 million and record awards. We finished the year on a strong note with fourth quarter that is stronger than normal 23% year-over-year growth in Q4 adjusted EBITDA. Our business segments are performing well with really strong momentum going into 2022. In Satellite Services, we saw strong demand with stable churn and record ARPU our fixed consumer services. Our IFC business was severely impacted by COVID whole year. We’ve seen some steady improvements each quarter since the beginning, but we’re still well below the level of pre-pandemic business. The trend continues towards normal travel patterns, but with the consumers leading business travelers in that area. Government Systems had good revenue and EBITDA performance, especially in line with COVID challenges created by the pandemic. And we had another year of over a $1 billion in awards making the – marking the third year in a row for that milestone on government business and add that – add into our backlog. Commercial Networks had a strong performance here in our antenna systems business, specifically partially offsetting the COVID-related impact and IFC mobile terminal shipments. But beyond the numbers, we achieved other really, really important execution milestones and wins that are worth noting. One is the first one’s completing a payload integration of the first of the three ViaSat-3 payloads. The one that’s going to go over the Americas at our Tempe, Arizona facility, but we’re currently preparing the first payload for shipment to Boeing, which is eminent, our targeted launch date of early calendar 2022 remains on track. We added Delta Air Lines with a new, very important customer in our IFC business, now with over 530 aircraft under contract, if you saw the press release, we sent out today that added another 230 aircraft to what we already had. We commenced installations in another new customer KLM Royal Dutch Airlines. And we kept our eye on long-term strategies and opportunity sets with the acquisition of RigNet and the other half of our European joint venture, we closed them actually on the same day. These achievements reflect our continued focus on execution. We had ViaSat-3, as we grow our global footprint and expand into new geographies and new vertical markets. We also support our long-term financial targets. Despite the challenges COVID-19, we believe, we’d kept ViaSat on track to double revenue and more than double EBITDA by FY 2025. We’re still targeting, turning free cash flow positive two to three quarters after the launch of our second ViaSat-3 satellite. So with that, let’s go ahead and jump into the first question operator.
Operator: Thank you, sir. [Operator Instructions] Our first question is from Ric Prentiss with Raymond James. Your line is open.
Ric Prentiss: Hi, good morning. Good afternoon, everyone.
Rick Baldridge: Good morning.
Ric Prentiss: Couple of questions. First question, I just want to talk on the schedule. You mentioned that the ViaSat-3 over the Americas on track for calendar year 2022 early launch. Any issues with COVID-19 supply chains, construction stuff. And can you lay out kind of the thoughts then on when the 3D over EMEA and 3C over APAC are on track for launching an in-service?
Rick Baldridge: Well, I mean, I can’t predict that there won’t be any other COVID impacts. I mean, that’s, it has definitely hit us pretty hard this last year on that payload. But generally speaking, we were pretty well coordinated, the supply chain, most of – most everything’s there for that first one. Boeing, I’ll let those guys speak for themselves, but we’ve got a lot of confidence. They understand the schedule, the bus is ready. So, we don’t expect anything, but, if anything it happened. The second payload, as we’ve said before, is about six months behind the first one. The only thing that’s happened here is the third payload right now, which used to be a year behind, the second one is more like in a six- to nine-month range behind the second one. It’s moved up. So, that’s the current schedule.
Ric Prentiss: Great. And how long it’s risen into orbit? How long should we think about in-service versus launch dates?
Rick Baldridge: Well, I don’t think we’ve officially announced our launch providers for each one of them, and it varies by launch provider. So, we’ll give you a better idea as we get a little bit closer to the launch in terms of, because each one has a different orbit raising profile. The test after we get on orbit is probably about the same, and that’s probably a little longer for the first one than it is for the second and third one.
Ric Prentiss: Makes sense. Obviously, a big year for government, a billion in awards, when you think about those awards and the bidding, how many of those contracts are you guys going in on like a solo bid? How many are you joint bidding with someone else in, and who are your bigger partners or your competitors ever think about those awards that you keep putting up on the board?
Rick Baldridge: Well, in most cases, we’re the prime. So, we do partner with other people, obviously we have partnership on Australian business contract, we’ve, so we’ll partner where it makes sense. We’ve done. We do work with Harris and our mixed product there in that case, a supplier to us. We provide components to them to and other. So, but most of our awards we’re prime. A lot of them are competitive. So, we’re competing against other big drivers as well as other so obviously the bid thing is, we compete with BAE, and we compete with the joint venture Data Link Solutions between the BAE and Rockwell. So that’s competitive on every cycle. Small Tactical Terminal, we don’t – we’re not really competing. We’re competing in any case with potentially an alternative solution or an alternative way to do it, but we’re the only ones with that product. So, with the non-development item, we’d invested our own money and develop that. So, we’re and it’s, it really was competitive with the old piece of the old JTRS, the filled airborne maritime and fixed terminal then didn’t make it through the JTRS profile that’s really where that terminal competes. And we don’t, nobody else has a handheld Link 16 products like ours the BATS-D. So in a lot of these cases, it’s the sole source product that’s out there and we’re the prime contractor. If I can go into F-16 or F-18, so we’re not the ultimate source, but they’re procuring this from us.
Ric Prentiss: Makes sense. And last one for me Rick you called out the acquisitions that you made with April 30, I think it was the RigNet and the European JV. How should we think about, what that means as far as additive revenue and added EBITDA once you fold it into your systems now you’ve had them for going on just about a month now.
Shawn Duffy: Yes, hey Ric, I can jump in on that. I probably think about combined top line maybe next year, contributing another $230 million or so. And on the EBITDA line may be about $40 million.
Ric Prentiss: Okay. And that’s for like 11 months on.
Shawn Duffy: Around that. Yes.
Rick Baldridge: The other thing to think about is, this year, there are synergies in each one of these transactions, but there’s also an implementation costs, and the integration costs of getting them in and kind of the way we’re looking at pretty much offset each other’s first fiscal year.
Ric Prentiss: Right. Right. And then are they – it’s going to go into Sat Services or is there some mix between the different segments that you guys report?
Shawn Duffy: The majority of that is going to go into Sat Services. There’s a bit on the product side from RigNet or go over into Commercial. If you think of it is, less than, or around the 10% to 15% of that number.
Ric Prentiss: Perfect. Thanks. Appreciate you guys. I’ll say, well.
Rick Baldridge: Thanks, Ric.
Operator: Our next question is from Simon Flannery with Morgan Stanley. Your line is open.
Simon Flannery: Great. Thank you so much. In the Shareholder Letter, you talked about a significant growth opportunity in recurring service revenues as the ViaSat-3 constellation enter service. Could you give us a little bit more color about where you – what your visibility is on that opportunity? So, in terms of sales conversations or traffic, it going to be moving across, but how do we think about that ramp in recurring service revenue as the three satellites come on and how much of that is sort of in backlog or pretty firmly circled at this point?
Rick Baldridge: So Simon, we’re not unlike a lot of the fixed satellite service guys that sell their bandwidth out and get contracts before they launch, we don’t do that. Mostly I mean, it’s not that we don’t do some of that. We’ve done that for instance, with XCI [ph] in Canada what was an example previously, Telesat before with them, for this stuff with, but I mean, not Telesat,other operators, but this comes from getting consumer subscribers and getting small business subscribers and arrow, meaning in-flight connectivity and platform markets in that space, ground vehicles, maritime it’s signing up those subscribers as we go. We’re – we in most cases are direct. As and we get outside of the U.S. there will be areas where we make some wholesale deals, and though might be areas where we sell some capacity, but there’s, these satellites are, they’re built to what we see as in demand in the marketplace, so parts with a market area where we see demand and where we think we can increase the market share by bringing something that’s quite a bit better than this one in there before. So it’s not like, I’m not going to mention the other operators, but they may presale two-thirds of their satellite before they ever launched it, does not what we do.
Mark Dankberg: On the other hand, one thing we do have 2,500 of that [indiscernible] sign-off, we have government contracts. So a lot of those are fairly predictable that’s where we’re looking to do is to capture here as far as the revenue that already difficult and that helps us forecast growth will be.
Simon Flannery: Yes, that makes sense. I guess, part of it, you do have a backlog of IFC and you added to that today with Delta, what’s sort of timeline do you think you will see those planes coming online?
Rick Baldridge: I think, so what we deliver about over 400 of those aircraft over the next 12 months.
Shawn Duffy: Yes.
Rick Baldridge: Yes, something like that of the Delta aircraft.
Simon Flannery: Okay, and then the balance year after?
Rick Baldridge: Yes.
Simon Flannery: Great. And perhaps any color on, we heard many of our companies talking about things got a lot better in March and then continue to improve. We see the latest TSA data. So is it fair to say that activity in IFC is continuing to accelerate through this current quarter from the levels of Q1?
Rick Baldridge: Yes. I kind of, – I’ve given by that in my opening remarks there, they’re definitely, we’re seeing month-to-month increase in the number of aircraft that are actually in service and the number of passengers that are flying. But most of it is in consumer. They’re not – they’re seeing a very slow return business travelers right now.
Simon Flannery: Right. Rick, are you seeing more evidence that consumers are starting to have higher take rates to use more bandwidths than maybe in the past?
Rick Baldridge: We’re seeing similar take rates than what we’ve seen. Just if you think of a percentage of the passengers, remember that business people travel for leisure also. So, it’s just because they’re not traveling for business. Doesn’t mean they’re not doing business while they’re traveling. 
Simon Flannery: Yes. Okay. Great. Many thanks.
Rick Baldridge: Okay.
Operator: Our next question is from the line of Phil Cusick with JPMorgan. Your line is open.
Phil Cusick: Hey guys, thanks. With the payload of the first ViaSat-3 shipping soon, and the next two getting toward completion, remind us how we should think about CapEx in the next year?
Shawn Duffy: Sure. I take that one. So, a couple things, one is to remember that, this year I would say we had a little bit of our capital shift right, just trying to purposely not that up against the one schedule. So, I think that’s one thing to keep in mind. And then we’re in that last year before launch. So the capital in 2022, I think about as the quarterly rate around $300 million, but it’s going to start to key up on backup, that’s probably a good range.
Phil Cusick: Okay. And then second, if you can talk about the sales headwinds you’ve seen in the government and defense business over the last year, and are those easing that we can start seeing that business really take off?
Rick Baldridge: No, they were, they most of them were related to I mean like simple physical things. People couldn’t get access to some of the networks that they needed to utilize, to review an issue contracts or to accept contracts or those types of things. And, given what’s happened and given that the CDC has now come out and a lot of people have been vaccinated. And now they’re saying that if you have been fully vaccinated and to have their adequate time that you don’t have those precautions. So, we would expect that things are returning to normal over the next few months. That’s certainly the remainder of the year. We’re seeing – we still see quite a bit of awards obviously, we’ve got over a $1 billion, but it was more difficult than in previous periods for sure.
Phil Cusick: Right. That’s just logistics of signing contracts and down there. I know it’s been a big headwind, but it seems like not quite normal yet, but getting toward normal in the next few months?
Rick Baldridge: I think that’s the good characterization.
Phil Cusick: And is there a real backlog of things that need to be signed and are sort of ready to go, that we see picking up, whether it’s this quarter or next quarter, or is that going to be more gradual?
Rick Baldridge: The government reports are always pretty lumpy. I would expect that’s going to continue. So, if you look at this year, we have really good front end orders in that area. Because just there was some contract timing, those things were ready to go. And so I think we’ll see it continued to be lumpy.
Phil Cusick: Okay. And then last one, there was a headline recently that you may consider splitting the business or selling a business pretty clearly aren’t getting the multiple for the defense business in the market that you deserve. Can you help us think about anything you can do on how that makes sense or what the synergies are of having the government and civilian businesses under a single roof? Thank you.
Mark Dankberg: Yes. There’s significant synergies in having both the government and commercial companies in multiple different form factors. One is government, is a complicated user of these types of broadband services, because they will have concentrated demand in certain areas, I don’t move around and look, you have to fix that is if you want to fulfill your contracts, you have to have bandwidth available in all the places where they might need. And if they are a large fraction of the total amount of bandwidth that you’re doing with – utilization of that can be really low, but you have a very large base of commercial business. And it’s a lot easier to blend that government contract, and still get a really good efficient use of your resources. So that’s one of the sources of absurdity and have you seen that over and over and in the government contracts that we already have, which are the ones that use our own bandwidth primarily in the Americas – with ViaSat-3, we’ll get the same as effects when we go license. The other area that’s really important is that, especially if you look at the way that networks are evolving. Government satellite networks are often an augmentation was down in terrestrially. So having this really interesting land important terrestrial tactical networks plus out of the satellite networks that are used alongside those gives us an opportunity to optimize it both. So it’s a really good way for us to compete more effectively in the antennas market. Then someone who got an access to do the combination of broadband capabilities and organic trends capabilities that we do. So, we find anything in those, in the market.
Rick Baldridge: Only, the other thing I would add there is, there have been times when we’ve had a lot of credit for our government business and there’s times when we seems like we don’t get it, I think those are transitory. And I don’t like it like this, but I think it’s transitory.
Phil Cusick: Okay. Thanks guys.
Operator: Our next question is from the line of Mike Crawford with B. Riley Securities. Your line is open.
Mike Crawford: Thank you. On the Satellite Services side, we saw that you got the landing rights in Nigeria. What about progress in other regions, where we should be looking for continued extension of your landing rights globally?
Rick Baldridge: Mark, you want to talk about that?
Mark Dankberg: So right now, what we’re doing on a global basis is lot of times we’re using partner bandwidth in tele markets. And so that the example in Nigeria, is one where we set up a specific network for that. I think that you’ll see us getting the landing rights in those areas in more areas as we get our own coverage in those areas, that’s probably that will be the main factor that will drive that, so that the Americas won’t be the first place, because we can do some of that with ViaSat-2. And also some of the partner ViaSat-3 is coming. Also, we’re not always going to make announcements around landing rights – really, depending on this specific market.
Mike Crawford: Okay, thank you. And then on the Commercial Networks, so is there, can you talk about for this current fiscal 2022 or how much of that would be like antennas to One Web and others versus say satellite payloads and satellite equipment for your own users broadband this year, and then how that’s goanna shift over the next couple of years, once ViaSat-3 starts to dominate a little bit more?
Mark Dankberg: One of the biggest areas where we had a really strong awards last year and we see this continuing is in full motion antennas, which are essentially ground segment for different forms of Earth observation satellites. So with that – new space, that new space does work, Paramount of its in communications and a lot of it is a things that relate to Earth observation. So there’s a lot more demand for the ground networks for that. And so some of that is custom orders that we’ve received for those types of products. Another area that’s a little bit swap it’s been growing pretty well are components that are used in space systems, none of that's government, but there is such – there are opportunities for both government and commercial in there as well. But those are the two fastest growing parts of the Commercial Networks, in this coming year in-flight connectivity, equipment simply contributed to that growth there as well. 
Rick Baldridge: And the overall Mike over the next two years, Mark’s, right. But that’s from an external standpoint, you can look at that, over the next few years, I’d say, well, over half of it is ViaSat-3 related payloads and ground segment employment, that’s going to occur through that segment, just from a cost standpoint.
Mike Crawford: Okay. Thank you. And then just a couple more. One, back to RigNet, you said the integration costs are going to kind of offset synergies this year. But can you quantify that for this year?
Shawn Duffy: Yes. So, I think what I would think about, as you look longer out, there are some further opportunities, bandwidth and so forth, as we get device that free constellation. On the near term, it’s really going to be what I would associate with, all the traditional public company costs, those kind of elements in G&A.
Rick Baldridge: Probably, on the $10 million to $15 million range.
Shawn Duffy: Yes, that’s good range.
Rick Baldridge: Mike.
Mike Crawford: Okay. Thanks. And then, last question for me, if do you just looked at your data links business, which I think would be mostly, if not all in Government Systems like is, what is the order of magnitude of revenue generated from that business today and profitability compared with Government Systems as a whole. In case that was one that was could potentially be carved out?
Rick Baldridge: I set a goal. So, I think that we’re not, right now, after plan we have an integrated business that, like Mark said, that utilizes all of that stuff. So, we’ve talked before, we’re about roughly having something pretty close to, a third and in that kind of area, or a third to a little bit higher in that area, and then our services business and our cyber security stuff. And then satellite, like modems and that kind of stuff and the rest of the area. So it’s split, kind of like that. But really don’t disclose the pieces.
Mike Crawford: Okay, all right. Thank you very much.
Rick Baldridge: Thanks, Mike.
Operator: [Operator Instructions]
Rick Baldridge: Okay. We’ll take – why don’t we take one more and – yes, one more call – one more question.
Operator: Thank you, sir. Our last question is from the line of Chris Quilty with Quilty Analytics. Your line is open.
Chris Quilty: Thanks. I wanted to follow up on just a couple of commentary or couple of points that were in the commentary. One of them indicated that the margins in the services business will likely be pressured towards the back end of the year, as you start to roll out some of the costs associated with ViaSat-3, Shawn, should we expect that mostly around the fourth quarter or should we see the margins pressuring down before then?
Shawn Duffy: Yes. When I think about the curve is those costs that the startup costs coming on for ViaSat-3, but they tend to do is scale or ramp as we bring up the network. And so they’re – they kind of trickle in earlier and then get, yes, you’re right, get a little bit heavier on the backend.
Rick Baldridge: So, they’ve already started, like they’ve already started, and it’s yes, I think Shawn described it exactly right it’s like a ramp. And so the fourth quarter will be the biggest quarter by far and certainly accelerates in that timeframe. As we get closer to launching the satellites and up and going, but we can’t wait till the last second to start, and we’ve already started, and we’ve got land and we’re putting satellite access nodes in, we’re running tests, lining some of the fiber rings up that will just ramp as we go throughout the year. But fourth quarter will be definitely way heavier than the other quarters.
Chris Quilty: Understand it. And I think also at the start of COVID, you had a layoff of a couple hundred people on the IFC side, presumably you’re going to be bringing back some of those people also as the business scales. And so does that also play into the margin compression?
Rick Baldridge: No, I mean, I don’t think so. We never just because one area that gets hit, that’s not the only area. I’d say, well over half the employees that were that left were in administrative functions. So, we try to preserve the people that are actually in the operating space as much as possible. And it was well appropriately, it was more like 70%. So, that add back in those areas will definitely lag the business. The plan would be to, as we go forward to get us to the efficient as we can. But we won’t be adding employees, but we’re definitely hiring.
Chris Quilty: That’s good to know. On the government side, the STA has made some pretty favorable comments around the role that Link 16 will eventually play in the Space Force is whole proliferated LEO. Can you kind of give us an update on where you’re at in that program in terms of timing or other new developments?
Mark Dankberg: Other developments around things, is that the question?
Chris Quilty: Yes. Specifically the Link 16, LEO effort and how that might be fit into the STAs plans?
Mark Dankberg: Yes, just interesting in general I think different as usual in parts, so the DoD bring perspectives on it. From the STA perspective, looking forward is really dried up from the transmission capability, which can be used throughout the multiple applications. And like you’ve seen with them incorporating which team into that is the recognition of the demand. There is for Link 16 connectivity and especially for new applications and Link 16 that are long haul over the horizon or short links communications, there’s other organizations that are more Link 16, either side, also see specific applications as opposed to just add to be part of a, kind of a transition portfolio. So, we’re working with, I’d say both sides of that, and there’s definitely opportunities for innovation on the application side where the space connectivity more than just relay or just one element on the broader portfolio and that to be determined. I think it’s really interesting about is point the team is that talk about in the past is a rapid growth in a number, we have four participants like a team and those include things like sensors and weapons, as well as [indiscernible] aircraft. So, I haven’t had a broader array of participants creates, we do interesting applications for each participants in there. And I think there’s good at driving Link 16 ops and space. I hope it answer your question?
Chris Quilty: Yes. I wanted you to give me a number.
Mark Dankberg: No.
Chris Quilty: I’m just being honest. Okay. So, let me ask one final question, which is the government services revenue, I think was a record at $80 million in the quarter. And you also had some commentary around, that being a big driver once ViaSat-3 comes online. And I guess my question is, I think most of the stuff that you do today is Ku-band ArcLight is, do you need a new contract vehicle or new hardware to migrate aircraft from legacy Ku-band ArcLight network onto new ViaSat-3 put KA.
Mark Dankberg: No. A lot of the programs that we won over the last couple of years, especially with [indiscernible] look forward than that, I think our customers understand KA and the global capability that that brings. So, all those contracts – most of those contracts explicitly contemplate migration to get in some already included the hardware components, some of them include hardware [indiscernible] as well. So, I’d say that the roads, well paint for that for the customer base.
Chris Quilty: Got it. And Mark, I assume you’re like calling in on a Inmarsat or Intelsat network, because you got a bad connection. It’s not a ViaSat-3 call.
Mark Dankberg: Not to talk about that.
Chris Quilty: No problem.
Mark Dankberg: I’m not going to name names.
Chris Quilty: All right. Thank you.
Mark Dankberg: Thanks Chris.
Rick Baldridge: And I guess that was the last call. So thanks everybody for joining. We appreciate it. Again, we had definitely proud of our people and the performance this year. I think over the lot higher than that may have been obvious to everybody is really, really tough year and team did a fantastic job, and we’re things are accelerating. So, we look at a growth year and in our fiscal year of 2022 and we’re really confident in both achieving the outlook and getting these satellites launch. So, we’ll see you next quarter.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for joining. You may now disconnect. Have a great day and be safe.